Claire Walsh: Good morning, everyone, and welcome to the Learning Technologies Group Half Year Results for 2023. My name is Claire Walsh and together with Lucy Highland from FTI Consulting who will be supporting the session today. Before we get started, I'd like to go over a few items, so you know how to participate in today's call. Our Chief Executive, Jonathan Satchell, and our Chief Financial Officer, Kath Kearney-Croft will present the results and will then answer questions. You may send in your questions at any time during the presentation, typing them in the questions pane within the software. It is usually located on the right-hand side of your screen. When it comes to the Q&A, you will be unmuted and invited to ask your question directly. We'll announce you by name and then your line will be open to ask your question. In the event that we have a poor connection or cannot hear you, we will look for your typed question in the control panel. If you're joining us by telephone, you will be unable to ask a question live. So we invite you to send these into investor inquiries at ltgplc.com. And we will endeavor to answer them during the session or by return of email. So now please let me hand you over to our Chief Executive, Jonathan Satchell.
Jonathan Satchell: Thank you, Claire, and good morning, everyone. Welcome to our interim results presentation for H1 '23. I'd first of all like to just congratulate the team. We all know that life is not particularly easy out there in the economy and on the markets at the moment. And I think they've done a splendid job of delivering a resilient and robust performance in the first half. And probably for me, the highlight is not only that resilience, but also the fact that we had a few like self imposed banana skin moment with GPLX, where we integrated LEO, at the very beginning of this year into our GP content division, believing that the cream would rise to the top and that we would get a lot of benefit from having the working practices of LEO, across the entire division. That didn't happen the way that we expected. We were outside our ability of control with that business, because understandably, it is within GP strategies and therefore is subject to the foreign control and influence regulations of the U.S. government because it does top secret work. So we had to watch from outside and deal with those challenges alongside the GP management team that did a great job. But it took us longer. And when we came to you with the July training update, we were saying that those problems being focused on and being broadly resolved. It's delightful to me today to be able to put a box around that and say we have seen profound improvement from the time that we went into analyze property in May, May changes from the middle of June, those changes had moderate effect in July and major effect in August. Such that we're seeing very, very improved margins and so on. And I'll go into more detail about that on a slide later on. Our numbers were very broadly in line with the training update slightly ahead. And with that, I'll hand over to Kath who can give you more detail.
Kath Kearney-Croft: Thank you, Jonathan, and good morning, everybody. Financials for the first half presents under continuing operations basis. Following the closure of the U.K. apprenticeship business as announced in December 2022. The results of this business are presented under discontinued operations as a separate line on a post-tax basis on the face of the P&L. For continuing operations, we saw a solid performance in the first half of 2023 with reported revenue up 2% at £284.6 million, with flat revenues on an organic basis, reflecting resilient performance in SaaS and long-term contracts, the expected revenue reduction for PeopleFluent churn and the challenging macro backdrop affecting transaction and project related work in both reporting segments. Adjusted EBIT was down slightly to £43.1 million reflecting the same drivers as revenue and the impact of the temporary integration issues following LEO's integration, the GP content business to create GPLX. The impact of this was circa $8 million lower than expected EBIT. Adjusted EBIT at 15.1% was lower than prior year during due to a combination of the impact of GPLX, lower transaction revenues and operational deleverage in the software platform segment. And I'll cover the other segments, the other metrics in more detail in the following pages. Looking at the chart on the left-hand side, we can see the split of our transactional and SaaS and long-term contract revenues, with a challenging macro backdrop affecting transactional revenues We continue to see resilience in SaaS and long-term contracts moving to 72% of revenues in H1 2023, giving us the competence on the visibility and security of future revenues. The chart in the middle reflects our reporting segments for content and services and software and platforms. And with effect from this interim report, the segment reporting has been updated to align with our internal reporting with content and services comprising of GP, including LEO and PDT since their integration in January, Affirmity and Preloaded. The software and platforms division reflects the results for our product companies. In the following slides, I'll cover the performance of the two divisions. The chart on the right-hand side reflects our diversified footprint, and we continue to remain predominantly exposed to the U.S. market, with similar exposures in the U.K. and rest of the world, enabling us to deliver to global companies with localized deliveries. Now moving to look at the reporting segments. As noted, we have updated our reporting segments to align with our internal reporting. Content and services includes GP, Affirmity and Preloaded. In H1 2023, revenue increased on an organic constant currency basis by 1.8%. Driven by moderate growth in GP strategies, and strong growth in both Affirmity and Preloaded. GP strategies had good growth due to a combination of ramping up of new managed learning service contracts, expansion of existing contracts and non-U.S. automotive contracts in the Americas division and good growth in EMEA in the first half due to slow recovery from COVID shutdowns in H1 2022. Adjusted EBIT was ahead of prior year, although affected by the temporary issues in GPLX, also impacting margins, which were broadly aligned with prior year, and Jonathan will talk more about the GPLX progress shortly. As we move to look at software and platforms, we saw mixed business performance in the half, with revenues declining due to a combination of the expected churn and PeopleFluent from customers with less complex needs or consolidating their tech stack, lower transactional revenues and Breezy related to job postings, and lower revenue reflective due to softness in technology sector customers, and the commencement of a strategy to migrate customers to a version of reflective within Bridge. This was partially offset by strong growth in Reflektive and Bridge and moderate growth in Open LMS. We continue to expect Breezy to be well placed to benefit from a pickup in the SME recruitment market, once this returns. And Bridge continues to build out its platform and winning new logos. And Jonathan will talk about both these businesses in a little more detail in his section. Adjusted EBIT was impacted by the revenue by the reduced revenues resulting in operational deleverage. Now looking and moving to cash for the first half, adjusted operating cash flow increased £1.7 million, with operating cash conversion improving to 65% from 60% in the prior year. The improvement reflects a low working capital in H1 2022 partially offset by a lower share-based payments and higher capital expenditure as we continue to build out functionality particularly in Bridge and Breezy. As with last year, we expect cash generation to be H2 weighted and cash conversion to revert to its normal circa 80% range for the full year as experienced in 2022. Net interest paid reflects a combination of higher interest rates and £4.5 million payable interest for H2 2022, as we fix the loan interest for the six months in July 2022 at a time of rising interest rates, and this was payable in January. Lower tax payments reflect the timing of payments. Integration and transaction costs primarily relate to the GP strategies acquisition, and we continue to expect total GP integration costs to be in the region of $13 million as announced at the time of the acquisition. Earn out payments relate to Breezy and eCreators for their FY '2022 performance and the proceeds from net asset sale in 2022 relate to the disposal of GP's NAS JV, which was completed in April 2022. Free cash flow for the year finished at £5.6 million slightly below prior year, but this also included the H2 2022 related interest payment of £4.5 million. The graph at the top of this slide reflects the movement in net debt from the end of December 2020 to June 2023. Free cash flow is as described on the prior slide. Share capital reflects cash income from the issuer share of employee share options. And the non-cash change in interest accrual reflects the accrued interest related to the H2 2022 interest and paid in January. Our loan facility is all U.S. dollar based and the FX benefits of £8.5 million on the debt balance is slightly more than the impact than the FX impact on the cash balances. We finished the first half at £108.4 million net debt compared to £119.9 million at the end of 2022. This translated to a continued deleveraging through the first half of the year 2.9x on a covenant basis at the end of June 2023 compared to 1.1x at the end of 2022. We have continued to pay quarterly repayments of $9.6 million and on the 29th of September, will voluntarily pay an additional $25 million. The incremental annual benefit of the voluntary repayment is $1.7 million at current interest rates. And now looking at earnings and dividend. Adjusted diluted EPS continuing operations has reduced due to a combination of the marginally lower adjusted EBIT significantly higher interest costs, a broadly similar tax rate and a circa of 0.5% higher weighted average number of shares. And finally, the Board has declared an interim dividend of 0.45p in line with H1 2022. The interim dividend will be paid on the 27 October to shareholders on the register on 6 October. As with prior announcements, we're including some technical guidance to help with modelling, some of which is reiterated from year end. The finance charges, we continue to have a term loan structure in place and interest is charged on the gross debt. And there's some guidance here to assist. Adjusted tax and FX guidance is in line with our prior guidance for FY 2023 and you may have noticed that the presentation on the face of the P&L is slightly different than the past with continuing and discontinued operations. And as noted already, the U.K. apprenticeship business is reflected in discontinued operations. In addition, similar to FY 2022, a non-core asset in GP is classified as assets held for sale, the process continues to progress. And we expect to provide a further update before year-end. And with that, I'd like to hand back to Jonathan to take you through the strategic review.
Jonathan Satchell: Thank you, Kath. Hi, everyone again, so a couple of things I really wanted to call out here looking at our content services division. First, we are seeing momentum. It's interesting. It's a mixed picture, as you might expect. But we are winning across a number of diverse markets, new business both in financial services and telco especially and still automotive and technology. However, we're also seeing some softness in transactional revenue from some of those existing customers that we have in those sectors. So there's not an easy read across, we can't just describe exactly where softness is occurring, other than to say it is all in transactional revenue and not in our services, long-term services contracts. In other words, customers are recognizing the need to continue to provide talent development within their organizations, there is no maneuvering away from that. They are merely being much more discerning about how much additional learning they provide. So the absolute bare essentials are not in question. But we have seen some softness in our transactional revenues, mostly with our existing customers who are just trimming back a bit, not with winning new customers where there is still plenty of pipeline and plenty of opportunity. So it's a mixed picture. Pleased to see some progress in cross-selling, that's worked really well for us. And once that would have said to you that, in general, we might have said there was a reasonable amount of softness in automotive, we just won a very large contract with a German automotive manufacturer in Australia, that is a new four-year contract of significant value. So there's still plenty of activity going on. We must remember that particularly in auto, they have a five year roadmap of new car releases. And of course there's a lot of complication with that because it involves electrification and so on. And the challenge that they have is that once they've set on that road of developing those vehicles, they have to provide all of the support services and learning behind them to ensure they go into the market effectively. We're also pleased to say that we're holding on to our customers GP will have great strength here. We are both winning any competitive rebids, renewal time but we're also in a pleasant situation where some customers are saying, we're not going to send you on this, we merely need to renegotiate for the renewal. So we're very confident about that. And then finally, we have had the largest ever held that we've had for a leadership development overall program, which is in excess of a couple of million dollars, stretching out over this year and next. Preloaded continues to go from strength-to-strength. We'll see some nice growth out of that this year. It's doing a lot more front-end innovative work with very, very large international organizations where AI is coming to play now. And it is our Innovation Lab, our Sandbox, to be able to demonstrate to corporate customers, the art of the possible, some of the work it's doing wouldn't be appropriate in its own guide to learning, but we can repurpose it very effectively. And it's been extremely good for us in terms of establishing our credibility with corporate clients for groundbreaking learning interventions. And Affirmity continues to go from strength-to-strength. We see no reason why there will be any change to the Affirmity action planning situation in the U.S. Organizations are focused on monitoring and tracking and attending to the diversity of their workforce. And we are the market leader in that space. A little more color on some of our content and services work, you'll see that we continue to win a lot of awards. Awards matter. They are a genuine affirmation of the work that our organization and many of our competitors are doing for customers. And I think that it's something that is very important in the buying cycle to be able to demonstrate that we are award winning. One of the things I'll call out here that I'm most excited about is, this is a genuine power of the combination of pre-existing LTG and GP. GP had a measurement academy an ability to measure the impact of learning, but they came at it from a very academic and intellectual perspective, with extremely high quality capabilities behind it. We brought the software capability, the measurement, the data integration, and we've combined the two of them. And those measurements and analytics services that we're now combining are really powerful indeed and getting great critical acclaim. I started talking a bit more about GPLX. As you know, this was in our challenge in the first half of the year. And we're in a situation where the integrators we started to make it towards the end of May, when we were allowed to get in there and start to get involved have had a profound and swift of that. So we looked across the piece at how the workforce was applying itself to tasks. Bear in mind, we have something like 650 to 700 people in this division across a multitude of locations, but predominantly North America, U.K. and India. And we had a real problem with labor allocation. So chargeable work was not necessarily going to the right places, and visibility of available resources was not as good as it should be and it certainly wasn't universal, we were looking in pockets and territories rather than globally. All of that has been resolved. And the moment you shine a light on availability of resources, you get to use them and use them appropriately. So that reduces the amount of external freelance usage. You might recall that theme from something else that we did in other parts of GP, when we first went in in the early part of 2022. We deliberately left GP content alone, because we knew we were going to merge LEO with it. And so this is the final part of that form of transformation if you like. So that's had a big effect. And if you look at the graph on the right-hand side, just that the change in utilization rates, particularly for available utilization is, is really strong indeed. We expect that to get into probably the mid 80s. When we eventually settle as a sort of absolute finite run rate. But we're very comfortable with the progress that we've made, we'll see further progress in the next few months. Couple of things that really matter in any form of project business, particularly where transactional revenues are a bit softer, is what your order booking your backlog looks like. And also, really we know pretty much by now, what we're going to do in terms of revenue for the rest of the year, because we can carry on winning things for winning new contracts, perhaps for another few weeks. But by the time you actually do the project kickoff, you won't have very many weeks left before Christmas to be able to actually start delivering revenue. So really, we're in with our order book is pretty set for the rest of the year now, which of course also supports the confidence in the statement that we've given you about what we think the outcome will be. If I just quickly go through the other things that we've changed in particular, margin has gone up quite dramatically. Over the last couple of months, particularly in August, we saw a small transition in July, but August was the big leap. That margin was 1.5x that of the margin that we were seeing in January, February and March. So a profound difference. We've also changed the way that we engage with customers and done some changes to the management team. And that quite a bit of overhead cost takeout as well. So it's been a multifaceted repair project. And I congratulate that the GP team and my LTG colleagues that have been involved in that. And I think it's just another example of when we have a problem, how we get in and resolve it. And the only difference here was that it took us a little bit longer to be allowed to get in because of the security restrictions on this business. So if I turn to software and platforms, we've often said PeopleFluent is a great piece of software. But actually it was probably mis-sold a number of times to customers whereby they weren't going to use the full extent of its configurability and its extensive functionality. A very large healthcare business is the opposite of that. It's not a longstanding customer. And it does really use it effectively PeopleFluent is the gatekeeper to medical competence in their organization. So allocating the right staff and the right resources to the tasks at hand is partly handled by PeopleFluent knowledge of the competence of the individual. And where you have locums or freelance medical professionals coming in and out of these units on a very regular basis, that is an extremely difficult thing to monitor and manage effectively. And we do that. And we've expanded very dramatically from a couple of 100,000 users to half a million users. And it's just an indication of where everyone said that PeopleFluent is in decline, but it's in decline where it's not used appropriately. But where it's used appropriately, it is very effective and well, sort of indeed. We're seeing Open LMS have some small amount of growth. It's not growing fast at the moment. But we think that there is quite a lot of softness in that whole opensource learning management system market because there was a big boon at the time of COVID. And usage stats are coming back now, as more university students return to campus rather working online. And therefore we're seeing -- it's just a bit [steady] [ph] at the moment. But we are still the biggest player in that market for Moodle professional services worldwide. Rustici continues to go from strength-to-strength, it still has the very strong moat around it that it's always had. And we are modifying and releasing new products within that business. Nice to see Watershed holding on to all of its renewals with an absolutely clean 100% renewal rate. And Breezy we mentioned a bit earlier, but just be really clear. It is growing its monthly recurring revenue. It's just it's transaction revenues that are all soft at the moment. And I anticipate that they will come back strongly as we return to a situation with the small and medium-sized American recruitment market, getting back into full swing, who knows when that will be but when it does, we anticipate that our customers will begin to advertise jobs again, quite dramatically. And we'll see a big upturn in volumes there. Remember, that was our fastest growing business for a number of years between '19 and '22. And we don't see any reason why that will stop. Vector continues to add new features to its software. But contingent labor market is again, affected by the macro. So it's not enjoying a particularly easy time at the moment. But it remains strong and robust. And then, finally, Bridge continues to go from strength-to-strength. That start there really matters to me, you'll see that we're exceeding bookings every month, month-over-month in terms of year-on-year. And our average deal size has gone up quite significantly. I mean, more than doubling, so we're very pleased with the progress that we're seeing in Bridge and I'll talk more in a moment about what we're doing to Bridge in terms of product as well. As you know, we've said that this is becoming the mainstream foundation stone product of the organization. We now fully have and have had for a while our authoring tool integrated into it which makes a big difference actually because you then don't just create content you can publish it and disseminate it to your audience in a very much more elegant way by having a learning management system and authoring tool integrated. So you'll see them in a number of articles on that which we've just highlighted there. We've put a number of AI tools within Bridge, in terms of its ability to, to understand the skills and competence required by the learner and actually create the first form of personalized and adaptive learning. And we are very much focused on the customer experience with this product, as well as the internal learning audience. There is a great opportunity in our industry, as products become more complex in financial services, particularly in automotive, that you're not just required to provide learning for your internal staff, but the extended enterprise and the customer is also a member of the learning audience. And you need to provide a slicker, more marketing orientated experience for that. And the Bridge Learning Management system is capable, very well of doing that. We've also been adding some functionality to Breezy, again, in preparation for what we think is going to be a significant upturn in that market. And we're making Breezy, more full service. So Breezy has been a highly competent, very well-respected applicant tracking system for a long time. But now what we're doing is, we're also adding onboarding, and performance management. So even if you are a small organization with a few 100 staff to your prime, Breezy customer, you probably wouldn't have these sorts of platforms, or consider them appropriate to invest in. But the cost point that we're creating for them, and the fact that they're all part of the original, Breezy platform, we think is going to make a big difference. And certainly onboarding, why wouldn't you if you're finding your candidate to hire within the Breezy applicant tracking system, you're hiring them, you might help them run them through your onboarding systems, that you induct them properly into your organization. That's the first one and continue to manage their performance on ongoing basis thereafter, seems pretty logical to me. So we are releasing both of these later this year. And it will be interesting to see how they take part and how they do. We thought important just to give you an update on AI, I've mentioned AI and a couple of the different products that we've incorporated and are ready. I think it's fair to say that what we're trying to do here is not knee jerk think thankfully, the little bit of the noise and the initial overreaction, and overzealous reaction to AI has slowed down a bit. And we've been taking a very considered approach, what we've considered most carefully, is not just following the pack, because the big problems here is differentiation. Everybody now says they've got AI. And everybody is of course has access to generative AI, through ChatGPT or any of the other ones. And the problem with that is that it's hard to actually make a difference between your product and another product. Now, it's table stakes that you're there. But what we've been doing is thinking about how can we most effectively provide the best use of AI ensures its utilities appropriate. And that also, if we're going to do something for our customers, where they have very specific learning, that we are protecting their data and doing it in a way that's absolutely safe for them, because we can't just rely on delivering money out of large language models that are available to everyone. So there is a multifaceted approach to the way that we were going about this. We formed a very high-powered advisory board because we believe that this market is moving very quickly. And we certainly don't know everything. And we're humbled about that. And we want to ensure that we have a broad perspective on all of the different challenges and opportunities that AI creates. We are very focused on a number of different approaches and strategies both for our customers and for ourselves. And below, you'll see the various different initiatives that we're taking in various projects and products across the group. I am comfortable one that we are broad in our approach. We're carefully considered. We're also considering incidentally, a lot of people don't talk about this. We're considering the future commercial implications of doing this. Because I learned a lot actually recently with some tech staff who had considered the amount of data that we were going to move had we used a particular external AI engine to do the work we're considering doing and the data transfer cost alone by being by the AI engine being a different platform, we're going to run into the many hundreds of 1000s of dollars a year. And I think these are the sorts of things if you rush at this stuff that that you can get wrong, and you regret over time. And so we aren't, as I say, taking a fast, focused, considered approach about how we go about this stuff. And I'm very proud of where the team is at the moment. So it's tough out there, there's no question. And it will continue, we believe to be tough for a while. And believe me, I sleep easy every night knowing that our balance sheet is really strong and resilient. And yes, okay, we're paying 7% interest on our debt, that debt is coming down, we're voluntarily reducing our debt quite considerably this month. And we will continue to do that as and when opportunities arrive, arise, Kath mentioned that we're disposing of that non-core business, as of GP strategies that will generate a couple of 10s of millions of dollars of disposal proceeds, there are going to be a number of opportunities where we can consider how we allocate our capital. And of course, M&A still remains an important aspect of our agenda. But we are again, being cautious about that and not rushing at it, I'd say the big change with M&A is that we are seeing some moderate distress beginning to appear. So we're having the opportunity to have conversations with organizations where it's probably just a simple revenue grab, we're looking more at asset purchases, and then we are at entity purchases. And then there is small scale there, single millions of dollars of revenue. But there could be very interesting, so much more of that is occurring now than was six months ago. And I think it's a sign of the times. We will deliver a resilient performance, I'm delighted to be able to confirm that. At this stage of the year, we're confident about meeting the expectations that we reset with you a few months ago. And of course, the transformation on the repair of GPLX is an important underpinning aspect of that. And we continue to believe that we're well placed in what is a difficult market at the moment. Bu the needs for continuous development of talent in organizations are not going away because of this macro. We all know this, this macro will move on over time. And organizations at the end of that will still have the same challenges that they have today, which is a shrinking available workforce, and a very fast pace of change in their organization, both of which drives the need to cause their talent to want to stay with them, but also to be developed and trained into new capabilities. With that, I will hand over to Lucy at FTI, who's going to organize, take some questions.
A - Lucy Highland: Hi, I'm Lucy Highland, we're shortly going to begin opening the lines for questions. You may continue to send in your questions by typing them into the questions pane within the software, or by email to investor inquiries that ltgplc.com. When we take your question, you will be unmuted and invited to speak to members of the board directly. We will announce you by name and then your line will be open to ask your question. In the event that we have a poor connection or cannot hear you, we will look for your typed question in the control panel. So with that our first question is from [indiscernible]. Your line is now open.
Unidentified Analyst: Yes. I hope I clicked the right button. Can you hear me?
Jonathan Satchell: Very good. Thank you. You are loud and clear.
Unidentified Analyst: Excellent. Yes, great. I had a couple, so the first one was around just I guess the visibility. And if I may call it conviction level of you guys making the 98 million you've been guiding through? And I guess the reason I'm asking is, throughout this year, I think we've had to, a couple of couple of expectation downgrades even the last two months, geographies, like China have incrementally weakened. So yes, I just wanted to sort of test your resolve, I guess on that guidance given we're at the end of September, that's the first one. The second one is around AI. And I guess we're all aware about the sort of hype around the technology. But if we flip this, there's also a lot of uncertainty, about the sort of reliability of models and the output, et cetera. So I'm just wondering, it seems like it would be an open door for advisory consulting type work, and obviously your business probably is pretty well suited for that but I'm just wondering, compared to maybe IT service companies or the strategic consultants, how would you see your role as an advisor for companies wanting to develop an AI strategy and in the HCM or in the learning and development space? Thanks.
Jonathan Satchell: Okay, thanks. I think I'll go with the second question first, actually. So we again, as I say, have been careful and considerate about how we've approached this. And first of all, there's no point in going out and rushing out to say, hey, we're great experts in AI, let's consult for you when we don't have any credentials, or credibility to be able to do that. So we spent some time considering where we wanted to position ourselves making sure that we had the right expertise, some of which was already pre-existing the organization, or the other expertise we hired in. And also where we wanted to focus. And we decided very specifically that we were not going to get dragged into being a generalist AI expert. We very much wanted to advise customers on how best to use AI to deliver better learning outputs, to deliver a more talented organization if you like. And it's quite interesting, because there's so many aspects to that. And where we did quite a lot of our learning actually is with a technology organization that you would know very well, that is very heavily involved in the forefront of AI has been a very large investor. And it's a very high profile. But we have a deep, long relationship with. And we're respected for our learning expertise and consulting on that. And they came to us and said, we've got all of this AI capability. And it's how we apply it. Can we talk about that. And we learned with them, I wouldn't say that we were their advisor, we just jointly learn together about the various pitfalls and challenges about how to deploy the technology. And we were dealing with people who knew that technology better than anyone. So that was a really good foundation for us. And we are now taking that out to the market. And it is that -- if you like couple of things that fast follower and trusted advisor approach that we're not -- we don't have an axe to grind here, with our customers we are already delivering in form to investor in the traditional way. And we are profitably driving profit from doing that. So customers, I think, have a high degree of trust that when we say to them, this is how to use the technology best and for goodness sake, avoid doing it that way. We're giving us from the most independent, well-informed standpoint that you can. So we're very focused on saying we can help you and if we can't help you, and we'll find a way else people that can to find the best ways of deriving the benefits of AI in the context of developing your people. So that's how we're approaching that I think it will constantly evolve incidentally. The conviction around the analysts' consensus guidance is high. And you might note and I saw that you had sharply assessed the fact that analysts consensus was at 98% at the lower end of the range. You're absolutely right. So a couple of months ago, China was not as soft as it is now. We came out with 98 to 103. And I certainly hope that we will be higher up to that range, we genuinely felt good about being in the middle of that range. The reason we're now at the 98 is that we know about the slowing down in China and Japan and for GP in particular, we don't think it's going to get worse than it is now. And we're pretty sure we know what the pattern is to the end of the year. And of course, we do have three months to go. So one should have reasonably high levels of conviction in the business of our type where any 29%, 28% of our revenue is transactional. So the long-term services contracts are set fair. So it's just about the transactional revenue. The bit that's unpredictable is you've got the order book contracts in place but we're seeing some COVID style behaviors where although the customers is committed to a contract, the project manager is not available and things don't happen quite the way they should on their side of the project. So suddenly, transactional work is a bit slower. But we think we've factored in our expectations as to how that might affect the number for the rest of the year. So, yes, given we're in a very uncertain market, so nothing is guaranteed. We've assessed everything that we can all of the data points that we have available to us. We've done reforecast on top of reforecast and we are comfortable with the guidance that we've given.
Lucy Highland: Our next question is from Thomas Singlehurst. Tom, your line is now open. It appears, we cannot connect to Tom. So I will now read out his questions. There are three questions, so I'll read them in turn. The first question is tech exposure, you mentioned pressure from end clients in the tech space? How sustained will this be do you think? The second question is on M&A.
Jonathan Satchell: I'll do them one-by-one, this way it's easier. So, look, it's as long as the tech downturn continues. But I find it a bit confusing to be honest, because we're not, while Silicon Valley in general has been suffering a difficult time economically, and the social media companies and so on, all of that's well known. A lot of the other tech companies that we deal with are in robust health, yet, they are still being a little cautious about spending, I think that will change more quickly than the general tech sector. And we don't have massive exposure, we had a bit of exposure in our Reflektive business that had sold to all these other Silicon Valley type businesses around it. So that performance management solution was in a number of those businesses, and mostly on single year contracts. So we've seen some churn there. But in general, I think that we'll see our large tech clients, the likes of Microsoft, and so on, return to their normal levels of spend relatively swiftly because their businesses are in robust health.
Lucy Highland: The second question is on M&A following on, your spend on M&A and/or earnouts, the missing element? Can you quantify anticipated cash outflows in the second half from future historic M&A?
Jonathan Satchell: I might defer to Kath on this one. I know the number is delightfully small, because we're right at the end of that sort of tech trail of earnouts that we had. But Kath, over to you.
Kath Kearney-Croft: We have a relatively small number of left and we wouldn't expect it to be more than 1 to 2 million this year. There's a little bit going into next year, but again, small numbers.
Lucy Highland: Third question is on cashflow strength net debt, given the weighting of the margin to the second half plus the comments on cash conversion, plus any potential debt proceeds? Why won't net debt dropped more dramatically in the second half?
Jonathan Satchell: Kath, we can't hear you, at least I can't.
Kath Kearney-Croft: So we do expect to continue to generate cash in the second half. But in the second half, we also have both of our dividend payments. So you may have noticed in the cash flow that we haven't done it with the way the AGM and the results land. The final dividend for 2022 ends up happening in the second half and also the interim dividend. And clearly focus on working capital is very high in our agenda. And so we would like to come in better than we will, potentially saying at the moment, but we need to see that money coming through.
Lucy Highland: Our next question is from Gareth Davies. Gareth, your line is now open.
Gareth Davies: First couple. Just a quick follow up to Kai's a bit more specific in terms of outlook. Just firstly, on content and services. What do you feel from an organic perspective will be a good performance in H2? Is it too ambitious to expect a flat performance given those additional headwinds in China and Japan, just your thoughts on sort of organic performance in H2 for content and services. Then secondly, you flagged the 17% exit margin for GP, just in terms of the shape of getting to that you kind of mentioned the benefits from the resolution GPLX that you sort of fixed that up in August. So just contextualize how that margin sort of improved through H2. And then, the final one for me, just in terms of cross sell, you obviously talked a lot about that when we did the original GP integration. You've called it out on the Australian auto contract win. I just wondered if you could expand a little bit more on the success you're having on the cross sell side and anything you can say there.
Jonathan Satchell: Starting with the organic growth in content, just to clarify, are you asking particularly for an H2 number or are you asking what the year's outturn will look like?
Gareth Davies: I think I mean, plus two in H1. Should we be assuming sort of flattish for the year? Or can you be -- the positive side of flat, I suppose, is the broad question.
Jonathan Satchell: Somewhere around there. Sorry to be vague. China is definitely weighing a bit. So, on a constant currency basis, I think we probably will be around flat in content services, maybe you're slightly ahead of that for the year. But that would be my best guess at the moment. In terms of margin and progress on margins, then this was really important to us. Because you might recall, when we first told you about the GP acquisition, we said, we think it'll take a couple of years to do the substantial part of the margin journey. And that we, for a long time, really, from the very beginning of 2022, we were saying to you that we would hope to exit at 15% run rate at the end of 2022, and 17 at the end of '23. While we managed to 14 point something at the end of '22. And I think we will manage circa 17% exit run rate at the end of '23. So despite our torrid time with the LEO integration into GP content, if you put that to one side and say that now it's getting back to what it should have been in terms of run rate. That's the main cause of that margin progression. There are a couple of other factors. So first thing is, we've removed the GPLX drag on margins, which made H1 '23 margins in GP unrealistically lower. So you can see the progress that the rest of the business was making, because GPLX eviscerated it. In the second half, it won't be doing that. And indeed, I think by the end of the second half, in Q4, it will actually be a net contributor to that growth in margin, which is outstanding, that's great. So it'll be in the place it should be, we'll have debt, and then got back up very quickly, [indiscernible]. So that's LX. The general GP business is benefiting from a few structural things that are happening. So you know, we are slimming down real estate, like most other businesses where their staff are not attending the office as much. And so as leases roll off, or we sublet properties, that's a reasonably serious amount of overhead. When we inherited GP, we had 82 offices around the world. I'm not sure of the number now to be honest, but we must have slipped, send that down by something like 10 or 20 already. So we are in a much better position there. So there are a couple of, if you'd like structural contractual things that roll off or change how you through the year as we go, which we've already planned, but we just know they happen at a certain point, that are having moderate margin improvement. And although the commercial transformation program in the mainstream GP excluding, LX was broadly done very well, indeed, last year, you still -- you leave bits and pieces behind, you do the main low hanging fruit activities, and you leave some of the smaller refinements which actually take longer and harder to do for less gain. You leave those behind as you go in the first tranche of a wave of transformation. We are reattending to those now. And getting some of those benefits. And indeed, we have a sort of, if you'd like a reinvigoration of the desire to do that, because of the new leadership team. Obviously, existing people who became the leaders of the GP business, as [indiscernible] moved on. And we appointed those three new leaders. So they are really focused on it, they understand business very well, they've got some 50 years of tenure between them across the business, they know the business well, and they're making good progress. And then, on cross sell, it's limited and normally relatively bilateral. So we've always said, don't think we're going to say that GP is going to literally sell the whole of the LTG [indiscernible], that's inappropriate and wouldn't happen. But what we've got now is, is where we're cross selling, we're normally cross selling some integrated solutions. So in the case of the German automotive manufacturer in Australia, they had a very specific learning management system requirement that we could meet outside their existing enterprise LMS. So we didn't interrupt or disrupt that at all, but we were additive to that in terms of what we were capable of doing. And those are the types of situation that we see more often these multifaceted solutions that require a number of different components that LTG already has. And I think you'll see a lot more of that measurement academy incorporating watershed, for instance, going forward. But don't think of cross sell as being something whereby GP lifted case in this great suite of different things that LTG does and sells all of them. We've never anticipated that, particularly where learning management systems are concerned. Why would the customer choose to buy ours just because they're using GP to do their learning services, managed learning services and content? That wouldn't be appropriate. But we're satisfied with progress on cross sell and put it into context.
Lucy Highland: Our next question is from Alistair Young. Alistair, your line is now open.
Alistair Young: Great. Thanks very much for the presentation and appreciate the transaction pictures a bit mixed. But have you seen any changes in logo churn versus the last few years? Thanks very much.
Jonathan Satchell: So no change in logo churn on our long-term services contracts. I think we said the acceleration in logo churn on our reflective customer base, which was very heavy Silicon Valley Tech. So we've seen a higher amount of churn on that. So customers going away and not going back. It's difficult to say whether we're getting logo churn on our transactional business, because, obviously, you effectively churn every time you do a transaction, you know that the customer has no commitment to work with you again, but they do normally. We're not seeing any logo churn in terms of the customers that are long-term services, customers who do transactional work with us as well. They're just doing lower volumes of it. And are we winning new customers for transactional work? Yes, that's the perverse and slightly strange thing. So new sales wins and new logo acquisition is good. But it's only partially offsetting lower volumes within the existing customer base.
Lucy Highland: That's all questions answered for today. We will now end the call. Thank you for joining us for today's session.
Jonathan Satchell: Thank you. Good to see.
Kath Kearney-Croft: Thank you.